Darrin Peller - Barclays Capital: Tien-tsin Huang - JP Morgan Chase Glenn Greene - Oppenheimer Bryan Keane - Deutsche Bank  David Togut - Evercore  Ramsey El-Assal - Jefferies Peter Heckmann - Avondale Partners
Operator: Ladies and gentlemen, we’d like to thank you for standing by and welcome to the FIS fourth quarter, full year earnings teleconference call. At this time all participants are in a listen-only mode. Later we’ll conduct a question-and-answer session with instructions being given at that time. (Operator Instructions). As a reminder, today’s conference call will be recorded. I would now like to turn the conference over to your host and senior facilitator, Ms. Nancy Murphy. Please go ahead.
Nancy Murphy: Thank you, Stephen. Good morning everyone and welcome to our fourth quarter 2013 earnings conference call. Frank Martire, Chairman and Chief Executive Officer, will begin with a summary of our financial performance; Gary Norcross, President and Chief Operating Officer, will follow with the operations report; Woody Woodall, Chief Financial Officer, will continue with the detailed financial review and outlook for 2014. Today’s news release and the supplemental slide presentation are available on our website at fisglobal.com. Let me remind you that today’s remarks will contain forward-looking statements. These statements are subject to risks and uncertainties as described in the press release and other filings with the SEC. The company undertakes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. Please refer to the Safe Harbor language on slide three of the presentation. Today’s remarks will also include references to non-GAAP financial measures, in order to provide a more meaningful comparison between the periods presented. These non-GAAP measures are outlined on slide four. Reconciliations between GAAP and non-GAAP results are provided in the attachments to the press release. With that, I’ll turn the call over to Frank to discuss the financial highlights on slide six. Frank.
Frank Martire: Thank you Nancy and welcome to the FIS team. Good morning everyone and thank you for joining us on today's call. 2013 proved to be another very strong year for FIS. We again drove consistent execution against our targets and delivered solid returns to our shareholders. I am proud of the progress we are making to execute this strategy we outlined in February 2012. We continue to build global scale in 2013, finishing the year with record revenue of $6.1 billion, adjusted EBITDA of $1.8 billion and adjusted earnings per share of $2.83. We generated $1.2 billion operating cash flow and free cash flow of $826 million. We are delivering on our commitments. Additionally organic revenue growth of 5% came in at the high end of our guidance range. This marks our third consecutive year delivering organic growth of 5%. We grew earnings per share by 13% to $2.83, which was the midpoint of the EPS guidance that we gave you in October, resulting in a five year compound annual growth rate of 14%. In addition, our continued sales success included multiple deals in the large North American and global financial markets. We finished the year on strong footing with a robust pipeline and good visibility heading into 2014. Also consistent with the strategy we outlined last February, we are using our significant cash flow to drive value for our clients and our investors. First we continue to invest for growth; second, we strengthen our balance sheet achieving our leverage target and investment grad ratings from all three rating agencies; third, we returned $732 million to our shareholders or approximately 90% of our free cash flow. We remain focused on returning cash through a 9% increase in the quarterly dividend and the new $2 billion share repurchase program. All of these actions reflect the confidence we have in our business and underscore our commitment to further enhancing shareholder returns. By all accounts, 2013 was another successful year. The success of our company ties directly to our employees’ hard work and dedication to service our clients. For that I want to personally thank our leadership team and our 39,000 employees worldwide. I also would like to thank our loyal clients who depend on us and trust us to keep their businesses running every day. It is because of our clients and employees that FIS continues to rank as the number one FinTech Company in the world. Now I will turn the call over to Gary for our business strategy and operating highlights. Gary.
Gary Norcross: Thanks Frank and thanks for joining us this morning. My remarks today will cover the following important aspects of our 2013 performance and our focus in 2014. First I will cover our global sales performance, emphasizing our execution and providing examples of continued demand for our breadth of solutions. Next, I’ll provide visibility to how and where we are investing in 2014 to accelerate our growth. As Frank discussed, 2013 was the year of strategic progress and strong financial results. Our client focus strategy in growth investments are driving the desired results and creating positive momentum. The financial services industry continues along the path of fundamental change that includes connecting businesses and consumers together through new digital channels, providing instant access to information and commerce and managing vast transaction and dollar flow, while preserving data integrity and information security. This change brings enormous challenges for financial institutions and significant opportunities for FIS as their strategic partner, helping to redesign and operate their businesses more efficiently. FIS is enabling this transformation by bringing the front office and back office together, streamlining banking and payments and creating a more agile, more intelligent and more efficient business model for financial institutions. We are doing this by delivering a variety of offerings from our broad and deep portfolio of technology, consulting and outsource solutions and services. This winning strategy propelled our growth in 2013 and is the underpinning of our strategic focus in 2014. Turning to sales, we saw strong year-over-year in sequential sales growth in the fourth quarter. We continue to add new clients and expand existing relationships through cross sell and up sell activity. This continues to trend resulting in more expensive engagements and longer contract terms. Next I’ll provide highlights for each of our three key markets; North America, international and global. Beginning with our international business, given their accelerated progress again this quarter, we are very pleased with the continued momentum in our international businesses. Our revenue growth accelerated to 13% in the quarter, for the full year our international business grew by 11% to $1.3 billion in revenue, which is further evidence of our credibility and ability to gain scale in the markets that we serve. This position has allowed us to consistently produce double-digit compound annual revenue growth over the last five years in our international business. Looking forward, we executed well against our sales plan and remain encouraged with the ongoing strength and quality of the international sales pipeline. The change in market dynamics is driving growth opportunities, particularly in India, Southeast Asia and parts of Europe. We continue to see increased opportunities around long term outsourcing arrangements, which provide more predictable revenue streams. Our focus on retail banking and payments has created an unequal brand in the market. In Europe I am pleased to report that we have finalized the contract with Sainsbury Bank, solidifying a 10-year agreement for a fully outsourced FIS solution. This very large deal creates significant reoccurring revenue and is a model for other banks in the region seeking to leverage our full breadth of outsourced solutions. In India we are very excited about out partner relationship with BMB, a new public sector bank empowering woman as entrepreneurs, which opened its first branches to the public in the fourth quarter. This represents another outsourcing win for FIS. Under this contract FIS provides a solution for the bank covering all their technology needs, from processing through network and branch infrastructure. We feel this win is important, because India has announced the potential issuance of more banking licenses and the success of BMB should help FIS with these additional opportunities. Turning to Latin American, FIS successfully completed the deployment of the credit card management solution for Banco Popular in the Dominican Republic. Through this successful implementation, FIS is now processing over one million credit cards for this customer. In Brazil, as we announced in Q1, the signing of Cencosud, a market leader in supermarket and retail, we are pleased to announce that we successfully implemented this outsourced card processing arrangement. This continues to drive further diversification by adding new clients to our Brazilian joint venture. In North America we see continued demand for our full range of solutions as clients prioritize spending around operating more efficiently, garnering more wallet share for their customers and managing regulatory compliance. We continue to deepen our relationships with community financial institutions such as U.S. Century Bank, offering new and needed services such as digital banking and payment solutions and infrastructure management. Among the large financial institutions where platform architecture is more complex and requires a higher degree of customization, we continue to see activity around core platform enhancements, including an expanded services relationship for solution integration for Capital One. Additionally, our mobile business showed significant growth in 2013 on all dimensions. We implemented more than 280 new clients to our mobile platform in 2013 and have a backlog of more than 150 additional institutions due to be implemented in the first half of 2014. This brings the total number of FIS mobile clients to more than 1,300 financial institutions, which is a 22% increase over prior year. Mobile active end users grew 36% to $24 million. We also received strong third party validation of our mobile solutions through numerous awards, including winning 2013 Best in Class Mobile Banking Vendor Overall by both Javelin Strategy & Research and CEB TowerGroup. Additionally we saw significant press coverage for our mobile solutions, especially our new Cardless Cash Access solution and Mobile Wallet. Based on this momentum and recognition, we believe 2014 will be another very strong year for our mobile banking business. We also saw strong year-over-year growth in bill payment adoption, including more than 140 new implementations with more than 70 currently in process with implementation. We are pleased by several significant wins in Q4, including a large channel partner who will sell our bill payment solution to more than 600 member institutions. Additionally, we are also excited to add a large $15 billion mid-tier financial institution as a new bill payment client. In our global financial institution market, we see continued demand for large transformational outsourcing deals that’s cost containment, regulatory pressures and front to back office transformation continues to dominate our client’s agendas. In Q4 two Tier I global financial institutions outsourced their program management function to FIS. This includes an expansion of the project, which we discussed during last February’s investor update. For both engagements FIS will provide access to strategic business processes and technology change experts. Each of these very large deals entails a multi-year engagement. Next, moving on to how and where we are investing for growth in 2014. First based on the success we have seen in 2013, and the opportunities we see with global financial institutions, we are investing an incremental $30 million in 2014 to accelerate growth in this market. As you are aware, the majority of the IT spends comes from the largest global institutions. To capitalize on this opportunity, we are adding new global client partners, sales and client implementation support teams, as well as client centered marketing investments. These dedicated client teams will bring highly valuable and differentiated offers to the global financial institutions. We believe this incremental investment will better position FIS to capitalize on the opportunity in this market and be a catalyst to further promote top line growth. Second, we will continue to invest in solution innovation to further expand our client value proposition to drive new opportunities for growth. This includes investments into existing solutions, into early stage companies and by incubating an early stage exploratory consulting service that focuses on the disruptive technologies that are changing with the financial services industry to define new business models with our customers. We currently have several of these client initiatives underway through our innovation centers around the world. In summary, before I turn it over to Woody, we are execution on our strategy to optimize performance and drive organic revenue growth. We delivered on our financial commitments in 2013 and we delivered consistently strong performance over the last five years during a very challenging environment for our clients. 2013 was another strong year of sales performance, underscored by large deal signings and new client implementations that are transformational in nature. We have strong momentum and visibility heading into 2014. We continue to strategically invest in key markets, in innovative solutions to drive profitable growth. Now I’ll turn it over to Woody for the financial report.
Woody Woodall: Thanks Gary. I’ll begin on slide 11 with a summary of our consolidated results for the quarter and the full year 2013. In the fourth quarter consolidated revenue increased 5% on a reported and organic basis after normalizing for currency and acquisitions. Adjusted EBITDA increased 4% to $487 million and the EBITDA margin remained strong at 30.8% compared to 31.4% in the prior year quarter, reflecting continued growth in consulting and services revenue and increased corporate expenses. Adjusted net earnings from continuing operations increased to $222 million from $201 million and adjusted earnings per share increased 12% to $0.76 from $0.68 from the 2012 quarter. For the year, revenue increased 5% on a reported and organic basis to $6.1 billion. Adjusted EBITDA increased 5% to $1.84 billion. EBITDA margin of 30.2% was slightly favorable to the prior year. The margin reflects that change in revenue mix resulting from strong growth in consulting and services and increased corporate expenses include sales and marketing, healthcare and continued investment in security and risk. Adjusted earnings per share rose 13% to $2.83 per share, which is at the mid-point of the EPS guidance we provided in October. These results include a negative foreign currency impact of $0.02 for the year, including a $0.01 impact in the fourth quarter. Next I will continue on slide 12 with the review of segment results for the fourth quarter. Financial Solutions revenue grew 4% to $604 million in the fourth quarter, driven by growth in consulting and digital delivery channels. Financial Solutions EBITDA increased 1% to $240 million in the fourth quarter. EBITDA margin remained strong at approximately 40% down from 41% in the prior year quarter, primarily reflecting higher consulting and services revenue. Turning to slide 13, Payment Solutions revenue increased 3% to $618 million, and 4% excluding the check businesses, reflecting growth in electronic payments including debit, credit and network solutions. We continue to see an improving stability in the check related businesses, which totaled $110 million in the fourth quarter of 2013, compared to $115 million in the prior year. Payment Solutions EBITDA increased 7% to $262 million in the quarter and the margin increased 150 basis points to 42.4%, driven primarily by growth on our leverage platforms. Now I'll cover our International business on slide 14. Organic revenue growth in our International business accelerated to 13% in the fourth quarter, driven by double-digit growth in Latin America and continued growth in Europe and Asia. Strong sales execution, implementation of deals previously sold and ongoing demand for consulting and services contribute to this strong performance. International EBITDA increased 11% to $99 million for the fourth quarter. EBITDA margin was 27.7% comparable to the prior year, reflecting continued strong demand for consulting and professional services, increased processing revenue, partially offset by lower license revenue. Corporate expense was $114 million in the quarter, up $12 million from the prior year period, primarily driven by increased sales and marketing expense and higher healthcare costs. Moving on to our reconciliation of GAAP to non-GAAP EPS on slide 15, GAAP earnings totaled $0.26 per share compared to $0.49 per share in the fourth quarter of 2012. GAAP results are adjusted to exclude $0.35 for the previously announced charge for acquisition related earn-out and incentive plans resulting from Capco’s consistently improving performance and growth prospects as outlined in the 8-K filed on December 20. This charge reflects the final settlement and amendment of the Capco earn-out and incentive plan provisions. Fourth quarter results also exclude $0.13 per share in acquisition related purchase amortization and $0.02 per share in cost actions related to the rightsizing of our labor force in Germany. These costs are over and above normal course of business workforce reductions due to the unique nature of separation cost in the German labor market. Moving on to cash flow on slide 16, adjusted cash flow from operations totaled $431 million in the fourth quarter of 2013. Capital expenditures totaled $98 million or approximately 6.2% of revenue, primarily reflecting increased investment in growth initiatives. This brings us to free cash flow of $334 million in the quarter, compared to $365 million in the fourth quarter of 2012. For the year, adjusted cash flow from operations totaled $1.2 billion. Capital expenditures totaled $336 million or 5.5% of revenue, resulting in free cash flow of $826 million, which is consistent with our guidance for free cash flow conversion to approximate adjusted net earnings. The year-over-year decrease in free cash flow primarily reflected lower cash tax payments in 2012. Our use of the cash flow during 2013 was consistent with our capital allocation priorities of investing for future growth, maintaining a strong balance sheet and returning cash to shareholders. As shown on slide 17, we returned approximately $191 million to shareholders in the fourth quarter, including $65 million in dividends and $126 million in share repurchases. We repurchased 2.5 million shares in the open market at an average cost of $50.73 per share. For the year we repurchased 10.7 million shares for approximately 4% of the outstanding shares, at a cost of approximately $476 million or $44.58 per share. The share repurchase program drove the decrease in our weighted average diluted share account to $294.2 million in 2013 from $297.5 million last year. At the end of the quarter basic shares outstanding were $288.2 million. Debt outstanding totaled $4.5 billion as of December 31. The weighted average interest rate was 4% at year-end. Total debt to EBITDA was 2.4 times, which is in line with our targeted debt-to-EBITDA ratio of at or slightly below 2.5 times. Moving on to slide 18, I will discuss our outlook for 2014. We expect recorded and organic revenue growth of 4.5% to 6.5%, driven by accelerated growth in international and continued strong demand for consulting and services. We anticipate EBITDA growth in line with revenue growth. This includes approximately $30 million of planned incremental investment, to take advantage of opportunities in the global financial institution market, which Gary mentioned earlier on the call. We believe the additional investment, which we are modeling to occur ratably throughout 2014, will enable us to accelerate our revenue growth. We expect to maintain strong EBITDA margin comparable to 2013. As a reminder, termination fees in 2013 were skewed more heavily in the first half of the year and will create difficult revenue and profit comparisons in the first and second quarters of 2014. We’re anticipating the effective tax rate to be in the range of 33% to 34%, compared to 32% in 2013. As a reminder, the 2013 rate benefited from favorable resolution of tax items and R&D tax credits. We expect 2014 adjusted earnings per share in the range of $3.05 to $3.16, which is an 80% to 12% increase over 2013. To be clear, this range includes $0.07 of incremental investment related to the global financial institution market. We expect free cash flow to approximate adjusted net earnings. Planned uses of cash in 2014 are consistent with our existing capital allocation priorities, including reinvesting 5.5% to 6% of revenue in CapEx, maintaining debt-to-EBITDA at or slightly below 2.5 times and pursing tuck-in acquisition to augment our existing capabilities. In addition as Frank noted, our board recently approved a 9% increase in the quarterly dividend to $0.24 per share and offered us a new $2 billion share repurchase plan, which replaces the existing plan. Consistent with recent practice, we anticipate share repurchases to occur throughout the course in 2014. In summary, we are very pleased with our 2013 financial performance and consistent execution of our strategy. We are optimistic about our revenue growth and opportunities based on new client signings in 2013, combined with a strong pipeline headed in 2014. We remain focused on driving EPS growth and creating value for our shareholders. That concludes our prepared remarks. Operator, we can now open the line for questions.
Operator: (Operator Instructions). Our first question will come from the line of Ashwin Shirvaikar of Citi. Please go ahead.
Ashwin Shirvaikar - Citigroup Inc.: Thank you. Good morning Frank and Woody.
Frank Martire: Good morning Ashwin.
Ashwin Shirvaikar - Citigroup Inc.: So pretty solid revenue growth and guidance. Can you help bridge the gap between, lets say middle of the range, 5.5% revenue growth, which is certainly above expectations and the middle of the range, say 10% EPS growth. You announced the new expanded buy back. How much of that gap is buy back versus it sounds like there isn’t much debt paid down, margin expansion, and in terms of margin expansion, how much of a drag should the term fee impact from last year be in first half versus second half?
Frank Martire: Yes Ashwin, thanks. I’ll hit the last question first. If you remember, term fees were weighted about 70% in the first half with the term fees related to BMO about 70% in the first half compared to 30% in the back half. So if you take our $40 million term fee we disclosed, we’re looking at $28 million in the first half of the year as a tough comp. In terms of looking at the composition of EBIDA versus EPS growth, first and foremost the investment is about $0.07 to be clear. So without that investment we’re looking at more of a 10% to 14% type EPS growth and that investment is about 50 basis points of margin. But bridging all the way down the EPS growth, your seeing us buy I guess $400 million, $450 million and $475 million over the last three years in terms of share buy backs. Leaving our debt at or around 2.5 times, not de-leveraging any further, you could see that increasing some what is our plan for 2014 in terms of share buy back.
Ashwin Shirvaikar - Citigroup Inc.: Okay, got it. So, just wanted to delve a little bit deeper into that $0.07 of investment. These types of investments obviously, while the impact is positive, they tend to rarely be one time in nature, because its ongoing you’re always investing in something. Is there a reason you are calling out that $0.07 of investment this time around? Is it related to any specific contract? I know the opportunity is very large, so it’s the right thing to do, but could you provide more details.
Gary Norcross: Yes, now Ashwin, this is Gary. I think that’s a great question. If you look at the success that we’re having with global financial institutions and frankly just look at the historic success of FIS, as we build traction in that market, as we’ve seen capital come on and penetrate the consulting services business and gain more share in that space and the success we’ve had there. As we’ve gotten some of the signing as I highlighted two Tier I signings in Q4, we’re just very bullish on that market and see a very unique opportunity, and so based on that confidence that we’ve had from the past, we thought it was time to increase our go-to-market staff there. So you’ll see us adding people around global client partners, which in building out teams that we can square off against these very large financial institutions more effectively, because we think there’s other opportunities these that we’re just not getting. Obviously as Woody talked about earlier, there’s some mix issues as we see that, but we’re very confident that not only do we get strong revenue growth, we get strong EBITDA production through these engagements as well. So the reason why we’re carving it out, it is an additional investment that’s not typical for us. We’ve waited to see us getting some traction and with that traction, with that confidence and with the opportunity, we think now is the time to invest more people to go square off on some of those sales engagements and we readily expect as you know, this should push our growth higher, and if it doesn’t, we’ll actually pull down the investment. But we feel confident that there’s enough opportunity there that we can growth this market.
Woody Woodall: The last is based on a couple of things. I think Gary just summarized it really nice. It’s the impact of the sales we’ve seen, that track record we’ve had. What is important is the pipeline we see in front of us.
Frank Martire: An opportunity.
Ashwin Shirvaikar - Citigroup Inc.: Yes, now it’s clearly understood. One clarification if I may; I got the $0.01 negative FX impact in 4Q, is there – I missed what the FX forward impact in 2014, what’s your assumption?
Frank Martire: We’ve kind of outlined organic growth, so we pulled out the FX on the revenue. To the extent we’ve got impact on the EPS line, a significant attachment, we’ll call it out on the individual call versus trying to give you any kind of headlights on that right now.
Ashwin Shirvaikar - Citigroup Inc.: Right. No, it makes sense. Thank you guys, congratulations.
Frank Martire: Thanks.
Woody Woodall: Thanks Ashwin.
Operator: Our next question will come from the line of Brett Huff of Stephens Inc.; please go ahead.
Brett Huff - Stephens Inc.: Good morning guys.
Frank Martire: Good morning Brett.
Woody Woodall: Good morning Brett.
Brett Huff - Stephens Inc.: Congrats on some good momentum here. Just two questions from me; Gary you called out a few things; the finalization at Sainsbury, the new India bank deal, a couple of large program management deals and I think you used the term very large on all of them. Can you give us a sense; I think your policy is anything over $25 million TCV is called out. Where do these things stand relative to that, if you can give us additional color?
Woody Woodall: It’s a great question Brett and you know we typically stay away from sizing individual deals. We certainly sized the India ATM deal as $500 million, at the time we disclosed that. These are very large, they are much larger than the $25 million in size. Sainsbury as you would imagine ramps up over a period of time, because it’s a very large implementation as we convert it onto all of our products and services, but all of these that I mentioned are much larger than the $25 million in size, so they are very good deals for us.
Frank Martire: And Brett I think the thing that’s happening here is what we talked about on our last few calls. As we went back a few years we used to talk about one or two large deals, now we talk about you know 10, 15, 20 significantly sized deals that are in our pipeline.
Brett Huff - Stephens Inc.: Okay, and then just to put a finer point on the investment, I want to make sure I get it. So this is – and Gary I think you answered it this way. It sounds like its mostly people and it sounds like its mostly – I don’t know if you call them sales or maybe business development or those kind of teams that are trying to figure out how you all can help some of these big FI’s; is that the right way to think about it?
Frank Martire: Yes, so if you think about it Brett, we’ve identified a number of financial institutions that fall in this category for us. Obviously there is actually more than what we put in this past quarter, but we think there’s about 30 institutions that we can truly square off against some of these opportunities and win new business, and so what we’re building at is dedicated teams for some of these financial institutions that we weren’t serving throughout the year. I mean we were trying to serve them through the leverage teams, and what we’ve realized is really building out a robust team that can dedicate it to one of these global financial institutions; that’s where you’re going to find the opportunity. You’re going to start with typically some type of transformational consulting engagement. That will typically follow on like what we mentioned with some large program management opportunities and then you’re going to follow on with products and services as we’ve seen with the success at Sainsbury. So we think the model works very well. We’ve proven that model throughout 2013. When we look at the opportunity across those institutions, the need to build out some more dedicated teams just makes sense. So to Ashwin’s point earlier, it is a one-time, meaning it’s a one-time ramp, but these are going to be ongoing calls for these dedicated teams. Of course as we get success across these other institutions, don’t be surprised when we come back and build out additional teams for other larger institutions we’re not serving. But we’re very confident and bullish that there’s an opportunity here and that we need to go put up the teams in place to go get some of that opportunity.
Brett Huff - Stephens Inc.: Great, that’s what I needed. Congrats again. Thanks guys.
Frank Martire: Thank you, yeah.
Operator: Our next question will come from the line of Dave Koning of Baird; please go ahead.
Dave Koning - Robert W. Baird: Yes, hey guys, nice momentum.
Frank Martire: Thanks Dave.
Woody Woodall: Thanks Dave.
Dave Koning - Robert W. Baird: Yes, and I guess my first question is just mobile. You mentioned quite a bit of success in the mobile channel and a couple of things there, that is within the financial segment if I remember right and maybe how big in terms of total revenue is that?
Frank Martire: Yes, we haven’t disclosed total revenue around that Dave. What I can tell you is, it’s not a giant contributor at this point, but it’s growing very rapidly right now. So again, we haven’t disclosed a particular dollar amount, but the growth profile is extremely exciting.
Woody Woodall: Yes David, I wouldn’t call the number yet meaningful, but I would say to you the potential and the opportunity is very meaningful, that’s what we see.
Gary Norcross: Yes, at its current course and speed. I mean it will be a very major contributor to our overall top line and bottom line and it is within the financial segment and does show the traction that we’re just getting in North America and frankly building on the strength of the mFoundry acquisition. So that’s turned out to be a phenomenal acquisition for us, the integration back into our channel delivery strategies has worked very, very well and we’re just thinking it’s a great momentum there. But it’s going to be a big contributor for us, there’s no question.
Dave Koning - Robert W. Baird: Okay, great. And secondly just corporate class, you mentioned they were up again in Q4. I think for the full year they might have been up about 15% or so. Is that something now that’ll kind of baseline into 2014 or do you expect that to keep growing pretty fast?
Frank Martire: No, we expect that to be effectively flat to 2013 and ’14; that will be sort of the expected number. You saw a ramp up continuing in security and risk in 2013, which was the primary driver of that major growth component for the full year. We did see some increases in per-claim costs in our healthcare area in the back half of the year, but we believe that’s really more of a normal area. We expect corporate costs to be effectively flat.
Dave Koning - Robert W. Baird: Okay great, and then my final question. Just the deal signings have been really strong. I’m wondering, is there a kind of a timing throughout the year of revenue growth ramps or acceleration or do you expect growth to be pretty stable throughout the year.
Frank Martire: No, again, as we talked about the difficult costs, we’ve got some challenging comps in the first half of the year and believe a combination of the removal of those difficult comps, combined with some acceleration of these signings, revenue growing will be higher in the back half of the year this year.
Woody Woodall: As you know Dave, I mean you know this business well. That’s why we highlighted Cencosud on the call. You know we signed that in Q1, we implemented it in Q4. That’s about as aggressive as you can get with these large transactions, so there’s typically a ramp of anywhere from nine to 18 months, to bring these online. The India ATM deal was longer just given the scope, but a lot of these will be contributors in the first and the second half.
Dave Koning - Robert W. Baird: Sounds good, thanks. Great job.
Frank Martire: Thanks.
Woody Woodall: Thank you.
Operator: Our next question will come from the line of Darrin Peller of Barclays; please go ahead.
Darrin Peller - Barclays Capital: Thanks guys.
Frank Martire: Good morning Darrin.
Darrin Peller - Barclays Capital: Great, good morning everybody. So, just a first question on the buyback plan, I mean obviously a fairly material increase. But you said earlier, I think you bought back about half of what your authorization was last year and now with the $2 billion authorization. I mean are we talking about a pretty aggressive year of buy back with – I mean can you give us a sense of what percentage of authorization we should be looking for.
Frank Martire: Well, we haven’t really guided specifically to the dollar amounts in here, but you can see over the past three years our default use of cash has been share buyback. Should we find some M&A activity that’s accretive in nature and very strategic to us, we could do some of that, but again our default use is share buy back. You couple that with leaving our leverage at 2 to 2.5 or slightly below 2.5, with EBITDA growth we could potentially take on some debt to maintain our leverage profile, but we’ll buy shares ratably. The buy back was over 40 years, so if you do that ratably, that’s a 500 million range or so and we’ll continue to take out option dilution as well, so.
Darrin Peller - Barclays Capital: All right, that’s helpful, thanks. One other question, on the international side, I mean obviously you’re investing even more heavily in it now and we see the growth accelerating up to 13%, a pretty impressive rate. Can you just give us another sense of the drivers going on? What sort of secular shift you’re seeing or how sustainable is this type of growth rate? I mean a little more specifics beyond just the consulting side and the Capco. Well, I mean Capco is a part of it, but a little more granularity would be helpful as to what we should really be looking for and what’s driving it?
Woody Woodall: Yes Darrin, I think there’s a couple of things. So first, I mean you got to look back historically. I mean we now had five consecutive years of very strong double-digit growth, compounded annual growth. So we’re very confident we can keep this continued. Some of the things that’s driving it actually, the consulting component is actually a relatively small piece. We are just seeing great movement and we will talk about it on prior calls, tremendous movement towards our solutions and capabilities, especially on an outsourcing basis. So you’ve seen three or four years ago a much heavier license component and much more discreet independent decision, today you are seeing the Sainsbury bank moving pretty much everything they have across core banking and payments on a full-on outsourcing basis. You know those kind of deals didn’t occur three or four years ago. You’re seeing the India ATM, which is a huge ATM payment outsourcing engagement and then you continue to see our growth in Latin America. So what’s happening is these larger financial institutions within these countries, and as we talked on prior calls, we’re very focused on a dozen very discreet countries where we’re going deep in those countries by broadening our solution set in those. You’re seeing them struggle under their own regulatory burdens. Frankly you are seeing them struggle on getting their cost out. Very similar to what we saw here in the U.S. and so for that they are turning and now starting to look for outsourcing opportunities and how to get on a product that’s being built for many institutions that they can leverage, and so that’s really the success of our growth. And the reason why we’re bullish and feel good about the future in international is how robust the pipeline is. I mean when you look at the kind of deals the team’s engaging against, as I said three years ago we’re heavily license laden, now its almost all outsourcing. So that shift from license to outsourcing model has occurred much more rapid in the international markets than we thought, and it makes us much more confident. And it also makes us – frankly the nature of our business makes us much more immune to economic shifts that occur within these countries. These are critical applications that are required to keep the lights on. So at the end of the day, no matter what’s going on in the economic, you got to process your payment transactions, you got to process your banking accounts and so we’re confident about on what the future holds for us in these markets.
Frank Martire: You know here in the international growth we look at, Capco’s been a great acquisition for us in consulting and it has done very well for us, but the international business stand alone has been incredibly successful for us over multiple years and that’s why you hear so much optimism here.
Gary Norcross: To add some color to that, license revenue in the fourth quarter of ’13 was down 6%, revenue growth was 13%. So it’s a combination of processing and outsourcing deals and consulting as well.
Frank Martire: Right, which is a model we prefer, obviously you get license fees, you get a much more spiky revenue and profit screen, but this give us a much more predictable, and frankly gives us good vision into what the future holds.
Darrin Peller - Barclays Capital: All right, just this last question and I’ll turn it back in the queue. In the domestic markets, I mean are we seeing the vendor consolidation that’s really driving this and there’s definitely been a lot more RFPs than we’ve seen. Like you said earlier, at any point in the past few years. Again, is that just a consolidation phase going on, we’re banks are thinking we prefer to use one or two or three vendors versus others or can you give us a little more color there and then I’ll just turn back.
Frank Martire: I think what we’re seeing in the U.S. is financial institutions are coming out of the financial crisis of 2008. They’ve weathered the storm. You see the number of closures have pretty much all gone away. So they’ve worked through their loan issues and now they are focused on how do you get more efficient? How do you get more leverage and more platforms that allow them to compete in the market and so because of that what we’re really seeing is not only in the largest banks, but all the way through the community banking market we are seeing a lot more RFPs, and I think its just a combination of weathering those storms and working through their own issues and now focusing on the future and all those drive great opportunities for us at FIS.
Woody Woodall: Darrin, they are looking to increase market share right and they are being aggressive about it and they know for a fact they needed more competitive products in order to be able to do that and that’s why I think you see that increased activity also.
Darrin Peller - Barclays Capital: Very good. All right, thanks guys.
Frank Martire: You’re welcome.
Operator: Our next question will be from the line of Tien-tsin Huang of JP Morgan; please go ahead.
Tien-tsin Huang - JP Morgan Chase: Hi, great. Good morning. Just a few follow-ups to some of the questions that were asked, all good questions. We’ve been hearing that there is a lot of inorganic opportunity, especially in Europe. I’m curious if that is consistent with what you are seeing in terms of where you are investing and I’m curious if your appetite to do acquisitions has changed, and if you’d be willing to do something bigger than just a tuck-in.
Frank Martire: We are starting to see more opportunities out there Tien-tsin as we look around. Frankly, as you know we’ve been very picky around what we look for. Frankly, it means to bring a new product and or service for an existing market we serve or break us into a new market. Do we have some more room? We’ve done some tuck-in acquisitions throughout last year. Those have been very successful for us. Would we change our capital allocation policy? No. I mean we’re very focused on keeping investment grade; we’re very focused on as you see with the increase of our dividend of 9%, very focused on our share buy back in investing our solutions. But would we do something that is more medium sized, that had the right fit and could drive, a company faster? Sure, we would look at that, but we’re really not in the market to just go buy overlapping product and services and troubled companies, that doesn’t make sense for us. We certainly have a lot of available cash in our international markets. As you pointed out, Europe, that’s very tax efficient to be able to use it that way, but we’re continuing with our very diligent approach to looking it up.
Woody Woodall: We talked to you a couple of years ago about being focused on organic growth and that’s what you’ve seen us do. We internalize, we’ve stayed focused on our organic growth with some tuck-in acquisitions. You never say never to something that’s large, right, but I think mid-tier and mid type acquisitions, some we may look at, but the reality is we’ve been very focused on organic growth in the company and we’re going to keep that focus.
Tien-tsin Huang - JP Morgan Chase: Yes, this makes sense. So just in the global financial institution, this opportunity, so investing around the 30 institutions you’re talking about, a couple of questions there. Is Capco aligned with some of those relationships, and who are you competing with on some of these? Is it different or is it mostly just an in-house going to outsource?
Frank Martire: It’s a great question and honestly one that we’re – when you look we’ve been very pleased with the capital acquisition. It just couldn’t have gone better for us from the standpoint of their growth, really pulling that up under. Rob Heyvaert is the founder of Capco. We’re actually placing in him, placed our global financial institution business also up under Rob. So we see tremendous benefit as we pull the center of these together of the leading financial services consulting arm, with the leading product and services arm in the industry and so we do see some great opportunities there and those will naturally align. Do Capco have relationships in those institutions? Yes. FIS does as well and so that combination we think will really be positive for us.
Woody Woodall: We leverage our relationship both ways.
Frank Martire: Absolutely yes.
Tien-tsin Huang - JP Morgan Chase: And then the competition for those big, for the big ones?
Frank Martire: Well, competition would be the list of the usual suspects, so obviously we’ve run into their centers of the world. We’ve run into the large Indian firms, still run into in-house development organizations a lot, right, so the technology on the financial institutions that we’re competing with. But as you can see in our recent success and signings, I mean we feel good about our capabilities, and keep in mind, the financial institutions are looking to bring not only their cost down, but being able to streamline their operations to compete more effectively and there is really no one better than FIS at doing that.
Woody Woodall: And we have a very unique opportunity with the combination of our services and our products as we bring it together.
Tien-tsin Huang - JP Morgan Chase: Sure, sure. No, fingers crossed, you guys should get more than your share. Thank you.
Frank Martire: Thank you.
Woody Woodall: Thanks.
Operator: Our next question will come from the line of Glenn Greene of Oppenheimer. Please go ahead.
Glenn Greene – Oppenheimer: Thank you. Good morning everyone.
Frank Martire: Good morning.
Woody Woodall: Good morning Glenn.
Glenn Greene – Oppenheimer: First question is really just a clarification for Gary and sorry to parse words here, but just on the investment, you sort of talked about it both as a one-time investment and then an ongoing cost. So just clarity, are we going to see that 50 basis point margin drag go away or come back in ‘15?
Woody Woodall: I apologize, you’re going to see a one-time ramp in resource and then obviously the resource will continue, but we expect that resource to drag some significant revenue opportunities for us.
Frank Martire: Its incremental investment, ‘13 to ’14, but those ongoing payroll dollars, etcetera, should be in our numbers. But we probably anticipate to get revenue growth from returns on those investments.
Woody Woodall: Absolutely. I think what we’re saying is, we will manage it well. If we put incremental investment, its because we’re seeing a nice return. If we decided to tone back the investment and pull it back a little bit because we are not being as successful as we thought we would be. But right now we are incredibly optimistic that we will be.
Glenn Greene – Oppenheimer: Okay, makes a lot of sense. And then on your long-term guidance, obviously the 12% to 15% CAGR through ‘15, just sort of looking at the midpoint of your range for ’14, it kind of implies, if my math is right, about a 13% lift into ‘15 to get to the low end of the guide. Are you still confident in that 12% to 15% CAGR?
Gary Norcross: Yes, we’re still confident in our 12% to 15% CAGR. Haven’t adjusted anything on our long-term guidance. What we did do is to call out the margin expansion issue will be a little muted because of the specific investment.
Glenn Greene – Oppenheimer:
Woody Woodall: Yes, I think I sill start around the international. You will see a continued acceleration of growth there. In our payments business you’re still looking at sort of low to mid-single digits and then the FSG is sort of low to mid-single, mid-single digit kind of growth there, with some acceleration in the back half of the year.
Glenn Greene – Oppenheimer: And then any commentary on margins?
Woody Woodall: In terms of margins I would say, the consulting and services, the shift in the revenue and we’ll continue to put some pressure in the FSG business in terms of margin. We believe we will get some expansion internationally and then payments continue to have very rich margins.
Glenn Greene – Oppenheimer: Okay great. Thanks a lot.
Frank Martire: Thank you.
Operator: Our next question will come from the line of Bryan Keane of Deutsche Bank; please go ahead.
Bryan Keane - Deutsche Bank : Yes hi, good morning.
Frank Martire: Hey Bryan.
Woody Woodall: Hey Bryan.
Bryan Keane - Deutsche Bank : Just wanted to follow up on Glenn’s questions there. On International, the acceleration of growth organic, I mean can that get up to mid to high teens or where do you guys think that goes, especially as we go into next year and then we think about the long-term growth rate of this business now with these investments?
Woody Woodall: Well we’re really pleased with the outlook from the fourth quarter at 13%, so I don’t know what mid to high means for you, but we’re very pleased with 13%. Our ’14 plan will allow the deal signings that we have; it looks pretty solid. So I would say we feel really good about our ability to continue to accelerate international revenue growth.
Frank Martire: And just to add on that Bryan. Some of that, to Woody’s point, I mean we feel very confident in the growth, but a lot of these businesses are tied to transaction volumes and growth in those as well, and so that’s what’s exciting about some of this long term business. When you look at the India component as an example, we keep bringing that up, but that’s going to ramp up over the three or four years. Right now we are seeing good adoption around those deployments and so as that continues, as financial inclusion grabs hold more throughout India, I mean we could further push our growth even higher. So we think there’s just a great opportunity here to consistently perform in the international market.
Frank Martire: Bryan, what we like a lot is the recurring revenue model in this international growth. So once you get it, you have a long-term revenue steam coming from it; that continues as Gary just said, to grow.
Bryan Keane - Deutsche Bank : Okay. No, that’s helpful. Just turning to the Financial Solutions Group, the EBITDA growth there was I think 1%. It had been hovering around – or for the year I think it was 6%. Just want to make sure I understand the components there that drag that down. It sounds like that probably continues; I’m guessing with the lack of M&I fees going forward.
Woody Woodall: Yes, the term fee challenge is going to be there in terms of the FSG segment. Some of the term fees are also in PSG, don’t forget that. But what we are seeing really is that consulting and services growth and FSG putting some drag on margin in that particulate segment. Again, trying to accelerate top line growth and trading some margin expansion for profit dollars being the trade we are willing to make.
Bryan Keane - Deutsche Bank : What is the breakout between the term fees between FSG and PSG?
Woody Woodall: I think we gave you some color on that in the third quarter. I might have to get back with you on that one though.
Bryan Keane - Deutsche Bank : And then the follow-up question to that is, I know its $28 million for the first half. Just remind us, is it split equally between the first and the second quarter? I just want to make sure we set our models accordingly.
Woody Woodall: It was split pretty ratably, yes.
Bryan Keane - Deutsche Bank : Okay, all right super. Thanks guys.
Frank Martire: Thank you.
Woody Woodall: Hey Bryan, thank you.
Operator: Our next question will be from the line of David Togut of Evercore. Please go ahead.
David Togut - Evercore : Thank you. Good morning gentlemen.
Frank Martire: Good morning David. How are you?
David Togut – Evercore: Good. Gary, you highlighted the strength of bookings in the fourth quarter and for the full year overall. Can you quantify what bookings were, both for the quarter and for the year on a year-over-year basis?
Gary Norcross: Now, we try to stay away from giving those type of numbers. David I can tell you it was up. As you know 2012 was a very strong year for us as well, 2013 was up over 2012. We saw sequential growth Q4 over Q3 and we continue to see a very robust pipeline. So we do see as we mentioned throughout the call, our mix continues to change, but we think that’s a positive thing. It just helps the strength and capabilities of what FIS has to deliver and it allows us to square off where those opportunities are. So while we are seeing more opportunity around complex business services, complex outsourcing engagement, that’s a positive that we have capacities to deliver on that.
Woody Woodall: David I will add some color. If you remember 2012, that was our highest sales year ever, including that $0.5 billion India deal and we had incremental growth over that.
Gary Norcross: That’s correct, yes.
David Togut – Evercore: I see, okay. And then just as a follow-up, Gary in your remarks you focused a lot on the large global FI market. But what are you seeing demand-wise from the small to medium-sized Financial Institutions in the U.S.? And if you could provide some color on pricing also, that would be helpful?
Gary Norcross: No, it’s a great question and I tried to bring some focus on the midsize and community banks. I mean if you referenced the mobile banking, if you reference the bill payment, if you look at those engagements, a lot of that is penetrated through the community and mid-tier markets. So we are still seeing strong demand for cross-sells and up-sells to that market. Really that capability of that end-to-end outsourced solution or back office services is resonating there. From a competitive situation in that market, we see the same original, the same competitors you can name and while it is competitive, are we seeing any increase in pricing compression? In the aggregate, I would say no. We run into an occasional deal where there is some significant price increase. But typically as we’ve done in the past, you’re able to cross sell and up-sell additional product and service that not only covers the price compression, but also grows our revenue stream for us and in a fairly good manner. So we still are very bullish on that market. We think we’ve got a great position in that market and a great product suite and our sales team is executing very well.
David Togut – Evercore: Great. Thanks for that, and just a final question for me. A couple of quarters back you talked about your contract with MCX. What are your expectations for the timing of the MCX launch and what magnitude of revenue would you expect this year and next from them?
Gary Norcross: Well, we’re going to have to leave the launch to MCX. That’s up to them to announce that. I know they’ve been kind of slow coming out with what their plans are. Its not been due to lack of work. I mean we talked about out pricing model. Really we are paid for building out and running the network and settling the transaction. So we really don’t have any interchange involvement at all. That’s going be settled out with the financial institutions and so as their transaction volumes grow, we naturally grow. If you remember when we disclosed that for the first time in one of our quarterly calls, there are minimums in the contract and you will start seeing contribution this year from MCX to FIS from a revenue standpoint.
David Togut – Evercore: Would it be material?
Gary Norcross: It was a fairly sizable contract growth at the time we disclosed it. It’s a very nice engagement even with the minimums.
David Togut – Evercore: Okay. Thank you very much.
Gary Norcross: Yes, thank you David.
Frank Martire: Thank you.
Operator: Our next question will come from the line of Ramsey El-Assal of Jefferies. Please go ahead.
Ramsey El-Assal - Jefferies : Hey guys. I wanted to drill down a little bit on the Payment Solution margin performance. Its really strong in the quarter. I know and Woody mentioned that this margin strength is set to continue going forward, and that I think you talked about growth in leveraged platforms helping. But I was wondering if you could parse out sort of the drivers of margin expansion in the Payment Segment, I guess in the quarter and going forward?
Frank Martire: Well, kind of conversely to what we talked about in Financial Solutions International, which has the consulting and services, which is a bit of a drag on margins. Because its in the leverage platforms, each incremental sale, each incremental revenue dollar comes out of a very high incremental margin and that’s a lot of what we saw this year. As we saw growth in bill pays, Gary described we continue to see growth in the network business as those dollars come on at a very good margin. So that’s really what we’re talking about. That’s the primary driver of what we saw in margin growth in 2013.
Ramsey El-Assal - Jefferies : Okay. Switching gears, any impacts that you guys have perceived from the recent target breach, and I only mean that in the context of the demand environment for your services, whether an increased appetite for risk-related solutions, EMV migration or any potential pullback in consumer debit card spending or anything at all that you can kind of link to that high-profile target breach?
Gary Norcross: Yes, obviously Ramsey, I think that’s one the largest card breaches in history and we don’t do much on the acquiring side. So we are pretty much immune to it. From an issuing standpoint, we are seeing some increased demand in the re-issuance of cards, which is very important in this process. We got capacity to do well over 200 million cards a year through that environment. We are starting to have more discussions around risk opportunities. In conclusion if you highlighted any EMV, that’s the strength of FIS, one of the things that we bring to the table that people don’t realize is we are one of the largest processes of EMV in the industry given our presence in Europe, given our presence in Latin-American and other areas. So our systems have been EMV enabled for years now and so we are very well positioned as EMV comes online in the U.S. We got the capability to product those chip cards and so we are seeing, not in a lot of conversations, but starting to see some growth in actually re-issuance and some people looking – is this now the time to take advantage to go ahead and produce a chip card, given the fact that we got to go though the re-issuance process anyway. So that’s really been our exposure, what happened on our side of the target.
Ramsey El-Assal - Jefferies : Okay. One last quick one, revisiting the India ATM deal, I know that was over a relatively long period of time. The revenues associated with that deal were expected to flow in. Where would you say you were in terms of, however you want to calculate the percentage of the implementation of being complete or innings or however you want to look at it? Where are you in terms of implementing that deal?
Frank Martire: Yes, so first I was just over there in Q4 for the BMB launch and obviously as you would expect, you can’t step foot in that country and not talk about that opportunity and where we are. The project is going very well. I think as we discussed when we announced that project, its about a four year ramp to get to full capacity. So I would say we are right on target with our projects. Still less that 50%, but the team is executing it extremely well. Some of the other, as you might remember, that went out to bit and there were a lot of what they call circles that were awarded to various people and I do think some of the circles are struggling. We’ve actually seen some wins in new business in those circles that we didn’t win, because the financial institutions are looking to get ATMs deployed and the people that won those circles are struggling. So once again I just keep coming back to, it really makes us encouraged about our opportunities because when you see FIS win these large complex things, the team executes very well, we deliver on time, on budget and hit the numbers, and so we are still very confident in the business phase. I would say we are still in the bottom half and the team is deploying exceptionally well.
Ramsey El-Assal - Jefferies : Okay, thanks for your answers.
Operator: Due to time constrains, our last question will be from the line of Peter Heckmann of Avondale Partners. Please go ahead.
Peter Heckmann - Avondale Partners: Hey, good morning gentleman, I’ll be brief. Just to be clear, your growth guidance of 4.5% to 6.5%, is that constant currency or is that reported?
Frank Martire: This, it comes both reported and organic.
Peter Heckmann - Avondale Partners: Okay, but I am seeing a fairly significant FX headwind in the first half of this year and so do we think in the first half we can still see 4.5% reported or it will be 4.5% minus the FX headwind?
Woody Woodall: I would say your 4.5% organic is what we are looking at. Additionally to it, first half of the year has difficult comps on the term fees that we talked about as well.
Peter Heckmann - Avondale Partners: Okay, okay, that’s fair. And then I did have a question. It appears that one of your largest competitors on the card-issuing side is experiencing some fairly significant financial distress. Are you seeing a benefit from banks and credit unions looking to second-source or potentially explore alternatives given that financial distress?
Gary Norcross: You know we haven’t at this point Pete. We are such a large producer of plastics ourselves and typically we produce that plastic in relationship to our debit and credit operations. So while that business continues to grow, I mean it did perform well. We certainly have seen some increase in volume and we’ve associated that with targets, because a lot of them have been reissuing. But no, we’re not seeing just this massive influx of plastic production. It’s been very steady and constant throughout 2013 and frankly we think that’s going to continue throughout 2014. As I said to the earlier question, we are seeing more demand around EMV issuance or chip-card issuance, which is positive and we’re prepared and are delivering that today.
Peter Heckmann - Avondale Partners: Okay, fair enough. I appreciate it.
Operator: I would now like to turn the conference call back over to Mr. Martire for any closing remarks. Please go ahead sir.
Frank Martire: Thank you. Well, thank you for your questions and interest in FIS. Over the last decade FIS had emerged as the global market leader in financial technology. Our scale, solution breadth, unmatched financial industry expertise enables our clients to succeed in this era of rapid change and financial services. So let me conclude today’s call by reinforcing four key points; we operate FIS in a great industry with strong fundamentals. Our proven business model, including high recurring revenue and cash flow drives stability and predictability. We have a very strong track record of profitable growth. Finally, we remain focused on returning cash and driving superior returns for our shareholders. Again, I want to thank you for joining us on today’s call. Have a great day.
Operator: Ladies and gentlemen, that does conclude our conference call for today. On behalf of today’s panel, I’d like to thank you for your participation in today’s conference call and thank you for using AT&T. Have a wonderful day. You may now disconnect.